Unknown Executive: Good morning, ladies and gentlemen, and welcome to this 2011 results presentation. Figures were released this morning before the opening bell and are available on our website at www.enagas.es. Mr. Antonio Llarden, the Chairman of Enagas, will host the conference. And we expect it to last about half an hour. And afterwards, there will be a QA session, during which we will try to answer any questions that as soon -- as early as possible. Thank you for your attention, and I will now give the floor to Mr. Llardén. 
Antonio Llardén Carratalá: Good morning, ladies and gentlemen, and thank you very much for your attention today. My speech today will have 2 main sections. Firstly, I will give a summary of Enagás 2011 earnings, and I will comment on the most important aspect. 
 I am very pleased to say that the fifth year -- for the fifth year running, and despite the harsh economic environment, we have beaten all the objectives that we have set ourselves for the year.  Then I would like to mention the economic outlook for Spain and the energy sector. And within this context, I'll talk about Enagás objectives for 2012.  
 2011 has been the fourth year of this world economic crisis, the fifth if we include 2007. At the beginning, it was widely thought that the crisis would be severe but short-lived and that the economy would rapidly get back on track. This has not been the case in Spain or in Europe. We have lengthened and deepened. And in 2011, the debt market and risk perception suffered heavily and ratings were downgraded across all European countries-enlisted companies. 
 Now in Spain, in 2011, macroeconomic indicators all worsened throughout the year: unemployment, credit rating, risk premium and political uncertainty. Overall, it has -- it was a year of recession and general uncertainty, and the energy sector was not immune from this. Given this adverse environment, we are especially proud that Enagás 2011 earnings has met and even surpassed the targets set for the year and that the company was also one of the best performing utilities relative to the Spanish stock markets and among comparable companies in Europe. 
 Key figures for 2011 are as follows. Net profit was EUR 364.6 million, 9.3% higher than the figure reported in 2010 and beating the target we have set at the start of the year. This growth was predicated on the growth of 13.4%, reaching at the figure of EUR 885.5 million on the back of a 15.4% increase in total revenues. This increase in revenues was due to the consolidation of assets commissioned in 2010 and '11. 
 Also, acquisitions made consolidation of the Gaviota storage facility for accounting purposes from January 2010, and to lesser extent, to the proportional consolidation of the Altamira plant in Mexico. Factoring in the acquisition of the Gaviota facility from January 2011, EBITDA would have risen up to 12.1%. This significant EBITDA increase and net profit increase is therefore explained by the nonrecurring revenues accumulated in successive years. The rise in EBITDA is also due to Enagás' commitment to efficiency and strict control of operating costs, which increased by only 2.7% in like-for-like terms. 
 Lastly, another key factor driving earnings growth in 2011 was the improvement in the company's average borrowing costs, 2.8% compared to the target of 3.3% set at the start of the year. In terms of investments, they stood at EUR 781.4 million, surpassing the target of EUR 650 million that we have set ourselves for the year. The volume of assets brought into service was almost EUR 780.5 million, also surpassing our target for EUR 650 million. 
 In summary, in a specially harsh environment, we have reported a very positive set of earnings, thanks to 3 main supports and pillars. First of all, the ongoing development of the efficiency and cost containment plan initiated in 2008. Each year, the plan is achieved -- has achieved better-than-expected results, and it has been extended until 2014, in tandem with our strategic plan. This plan is one of the company's permanent strategies around, which part of our objectives are defined and which all Enagás personnel helped to achieve. All employees have a variable remuneration component linked to meeting this objectives. And it is also regulated in the collective agreement. Another key factor is the volume of assets brought into service with an execution schedule that saw no delays. And lastly, the improvement in the average borrowing costs, which was lower than our specified target for the year. 
 Several other key factors have also contributed to the earnings that we are -- we present today. The stability of the regulatory framework on the acquisition of assets from third parties in line with Enagás objectives. In this respect, in 2011, after the pertinent authorizations have been obtained, the company included 100% of the Gaviota underground storage facility among its assets. Furthermore, as you already know, we acquired 40% of the Altamira regasification plant in Mexico. Lastly, we purchased 42% of the Gascan, the company responsible for the construction of 2 regasification plants in the Canary Islands, one in Tenerife, and then the other one in Gran Canaria. I will talk later about the criteria, followed in our acquisitions from third parties. 
 In terms of the financial performance in 2011, our highlights go as follows. Net debt at 31st of December was EUR 3.44 billion. This implies a net debt EBITDA ratio of 3.9x, lower than the figure of 4.1 reported at the previous year. The average cost of Enagás debt at the end of 2011 was 2.8%, one of the lowest among nonfinancial companies trading on the Spanish Stock Exchange. 
 Additionally, in line with the company's financial policy, at the 31st of December, we upheld our strategic objectives of maintaining around 70% of our net debt at a fixed interest rate. 
 Lastly, at the end of 2011, Enagás had liquidity of EUR 2.126 million (sic) [EUR 2.126 billion], sufficient to allow us to finance our entire investment program beyond 2014 on optimal terms and under excellent cost conditions. This data, once again, confirm our sound financial position. Today, Enagás has a balanced financial structure. Only 1/3 of our debt corresponds to bank financing; another third to long-term institutional funding, mainly the European investment banks and the Spanish credit entity; and the remaining third, to funding what's played on the capital markets. 
 From a macroeconomic standpoint, 2012 does not look like being the year in which either Spain or Europe will emerge from recession. Forecasts are heralding a difficult year. In the energy sector, we hope and trust that uncertainties surrounding the structure of the energy mix and the solution to the problem of the tariff deficit will be dispelled. The first statement issued and actions carried out by the new Minister of Industry, Energy and Tourism are clearly heading in this direction. Now I consider this to be extremely positive against and within the back framework of our strategic plan through 2014. I would like to inform you about Enagás' commitments for 2012, a year in which efficiency and cost control will remain key.
 The most important factors are to obtain an EBITDA growth of around 8%, an average cost of debt of 3.3%, even lower than the figure envisaged in the strategic plan to maintain a net profit of around EUR 365 million, in line with the one obtained in 2011. We have been conservative assuming a significant increase in financial costs in our strategic plan factors in more moderate growth in 2012 than in previous years and subsequent years. A dividend increase of around 8%, proving the forecast dividend for 2012, some 22% higher than the figure initially contemplated in the strategic plan, investments of about EUR 550 million and putting into operation assets where it's EUR 750 million, also in line with the targets contained in our plan. We would stress that these targets are extremely prudent given the volatility of the current economic environment. 
 In conclusion, given the current markets and economic conditions, the objectives that we are presenting today for 2012 evidenced the good progress being made by the company. As I have already said, this good performance has allowed us to raise the dividend paid by around 8%, in line with Enagás' policy of increasing shareholders' remuneration. 
 Regarding regulation, we uphold our outlook for regulatory stability based on the following premises. Well, on the one hand, natural gas prices set by the international markets, meaning that the gas system will have no structural tariff deficit. Of the overall deficit is the result of variations at the end of the year vis-à-vis the demand forecast used to set tariffs. The regulatory framework is already considering mechanisms to correct this difference. Average returns in line with those obtained by comparable European companies and also the good performance of the gas system in general. 
 Furthermore, we continue to work closely with the different regulatory authorities, providing them with all the information they may need. On the other hand, we may remember that Enagás continues to lead the technical manager of the system contributing to the safety of the supply and the coordination between order different stakeholders working in the Spanish gas system. I will later on talk about the additional extraordinary peak in the demand that we managed to cover, and this didn't happen in all the European countries for most European companies. 
 Regarding investments, I would like to give you an overview of our acquisitions policy of assets from third parties. Over the past 2 years, vertically integrated companies have started the sale of their non-core midstream assets in the intermediate part of the energy chain, which fit fully with Enagás core business. Additionally, over the past few years, the value of Enagás now hang in the global management of complicated gas system, and the LNG chain has become increasingly apparent. 
 Enagás studies potential acquisitions of assets from third parties on the basis of 4 key criteria. First of all, they must be core business assets offering a return that is the same or greater than current returns. The net debt to EBITDA ratio must not exist -- exceed 4.2 -- or 4.3x, and they must be a source of recurring and regular revenue flows. These policy strengthens our policy as gradually increasing shareholder remuneration, while over the next few years, the volume of investments in the more mature Spanish gas system will be lower than the current average. All of this will be underpinned by a policy aimed at unlocking the value of the company's know-how. 
 Lastly, I would like to speak briefly about how our business plan is expected to develop through 2014. And if you'll allow me to drink some water. In terms of our investment, we are working to obtain the authorizations required to carry out our project. I would highlight that 82% of the investments planned under the 2010-2014 business plan are either operational, under construction or at an advanced stage in the planning permission process having really obtained the related environmental impact assessment. Enagás is, therefore, on track to meet the target of our 2010-2014 business plan. 
 Additionally, we expect to maintain our strong financial position, and we have sufficient funds secured at a good cost to carry out our investment program. We prudently estimate a 4% increase in the average cost of debt in 2014. A solid asset base, the result of a steady investment effort and the strict control exerted over operating and financial cost will allow us to remunerate our shareholders, in line with the provisions of our investment programs and debt targets. 
 I would therefore remind you that in 2007, Enagás increased its payout from 50% to 60% in 2011. We increased it furthermore to 65%. And in 2012, we will raise it to 70%, committing to maintaining this level until 2014. 
 Before I finish, once again, I would like to review demand figures for natural gas in 2011 and give you our best estimate for 2012. Total demand transmitted in 2012 was 413,803 gigawatts per hour, a 5.2% decrease from 2010. Domestic demand totaled 372,766 gigawatts per hour, down 7% on previous year. This was because while industrial and sector demand remained largely stable, demand from the electricity sector dropped by 19%. The remaining demand relates to gas transmitted by the Spanish gas system for consumption outside Spain, including for the first time a significant amount from LNG tankers loaded at regasification plant. 
 Our current forecast for 2012 is for a 3.8% increase in conventional demands, while demand for electricity generation should fall further at a slower pace by around 4%. Therefore, in 2012, domestic demand is -- will grow by 1.4%, mirrored by a similar rate in total demand transmitted. 
 Conclusions. In sum, the results we present today show that we have met and even increased the objectives set a year ago in an extremely difficult economic scenario in Spain, Europe and elsewhere internationally. At Enagás, we are making an even greater effort, and we have succeeded in adapting to the new situation. And this has allowed us to meet each and every one of our commitments. 
 It is also great satisfaction to me that Enagás has been recognized this year as a world leader in the utility sector by the Dow Jones Sustainability Index. We have achieved these and all the recognitions thanks to our corporate social responsibility policy, on the successful implementation of our sustainable management model focused on innovation and continued improvement in all overseas. 
 Lastly, I would like to wrap up my speech by reminding you that during the course of this year, the Ministry of Industry is likely to draw up a new National Energy Plan for 2012-2020. Once this bill has been passed, we will update our strategic plan in order to include forecasts beyond 2015. 
 I would like to thank you for your attention, and I will now invite you to ask as many questions as you wish. We will try to answer them as freely as possible. Thank you very much. 
Operator: [Operator Instructions] First question by a representative from UBS. 
Alberto Gandolfi: My name is Alberto Gandolfi from UBS. I have 3 questions. The first one is, can you please share with us your conversations with the new government and the Energy Ministry? And especially throughout this year, do you expect changes in the regulation with the introduction of the Web systems throughout the business just like it happened with electricity supplied -- supply already or with the regasification and storage business? Second question, clearly, well, you cannot foresee the measures, and they're hard to forecast. But can you envisage a special tax for energy companies, that same thing that happened for Italy, for example? Or do you know already as a fact that the government is not going to talk or put on table these type of measures? And the third question, Mr. President, I would be interested in knowing your opinion on the possible evolution of demand in 2012 in Spain adjusted to climate issues. Of course, 2012 has been a very warm year. Now it's really cool, but structurally, as a normalized year, what do you think would be the evolution of gas demand for the year? 
Antonio Llardén Carratalá: Mr. Alberto from UBS, I will now answer your questions. First, yes, correct. I personally have talked to the minister and the secretary general of the minister. I have met with them several times, and I must say that initially, there is no news regarding modifications to the regulatory gas framework, period, no news regarding that at all. In fact, in our first conversations, we focused rather on the gas system as a whole, the international interconnections and the demand issue. I will talk about this later since you asked. And also, we commented on the gas deficit, structural gas deficit. And I must say already that the government has enough elements to solve this situation since this deficit, just like the electricity deficit, is not structural. So in conclusion, Alberto, for 2012, in general, we expect regulatory stability for the gas sector. We -- there have been no signs of it being otherwise. Now regarding this special tax on our sector, just like the one used in Italy, Robin Hood Tax last year, well, the new ministry has given no signs of this happening at all. So I have no indications that this might happen. Besides, even though this is not my field of expertise, let me remind you that the Robin Hood Tax in Italy, if I'm not mistaken, was partially justified by the fact that the affected companies were state-owned companies partially. This is not the case in Spain. And fortunately, this is not the case of Enagás. So we have no news in this regard, and we do not expect changes. And finally, the evolution of demand based on climate. The data I shared with you before has been calculated based on the average climate figures. So the evolution of a year, that would be the average of the last 10 climate years, meaning that the year would be slightly better in terms of climate than the year before, which was warmer, and not as cold as this case, specifically. So we've been very cautious with our forecast and the evolution. As I've said, it's the average of the last 10 years. The commercial and industrial and so forth, with these forecasts would go up by 4% approx, and electricity generation from gas would go down only 4%. Now that's 15%, 20% that we've been used to in the last few years. That's why the average growth would be at around 1.4%, 1.5%. Clearly, if the year ends up being colder than expected, then the demand could go up by 1 or 2 points. But as of today, without taking into account this specific cold weather these days, we just calculated the average of the last 10 years. More questions? 
Operator: Next question will be by Pablo Cuadrado from Bank of America Merrill Lynch. 
Pablo Cuadrado: I have several questions for you. First, the national energy plan, this question was mentioned already at the other few presentations that -- through this year. The new plant is expected for the investment horizon to 2020. Maybe you've been able to talk to the minister in this regard. Are there any indications from him on when is the plan going to be out? Would it be the second half of the year or sooner? Just so that we know what's your calendar roughly. And the second question is regarding the cost of debt. That's 3.3% that is forecasted for 2012. And I would like to compare that to the 2.8% reported for this year because apparently, it seems to be quite an increase, especially since you're only going to refinance EUR 500 million from the bond that is due in July this year. So have you assumed that cost of debt? Are you going to refinance beyond those EUR 500 million? Are there any comments in this regard? And a third question very briefly, can you give us a breakdown if the assets that you're going to put into operation in 2012, those EUR 750 million you mentioned? And the CapEx for 2012, I see on the slide that, that EUR 550 million figure includes acquisitions. Can you give us a number for the CapEx regarding new investments or acquisitions? 
Antonio Llardén Carratalá: Okay. Pedro [Pablo] Cuadrado from Merrill Lynch Bank of America, I would like to answer your questions. So regarding the energy plan for 2012-2020, at first I've seen, yes, we can expect the final publication for the second half of the year. I think the ministry right now is starting to undertake the first measures, first specific measures. They just extended the life of the Garona's nuclear central, and they also made a very important decision regarding the nuclear waste storage. Also, there is a moratorium on new facilities for renewable energies. So they are making decisions right now, and it seems that the National Energy Plan is going to be the cherry on top for all these measures and policies implemented through the first half of the year. So that's why I think the plan will be out by the second half of the year. Of course, I do not represent the government. And well, they will do their forecast when it will be necessary. Regarding the cost of debt, the CSO will take the floor shortly. But let me tell you that the net cost for 2011 was EUR 2.8 billion. Yes, the financial curve right now would be 3.3 cost right now. And this year, yes, we do need to renew EUR 500 million in bonds, and there are other regular renewals for credit policies. This is nonconservative [indiscernible] neither of them. If you look at debt curves right now, this is the outright number. But of course, just like we do every year, we're going to beat these costs. But the CFO will take you through that shortly, as I said, and then I will continue with the rest of the questions. Diego? 
Diego de Reina Lovera: As my president indicated already, to make this calculation, we have not speculated at all. We used the forecast based on the current interest rate, and we applied it to the renewals scheduled for the current fiscal year. Now the final evolution, we do not know. No one does. But we believe that 3.3% correctly reflects the market expectations for 2012. As far as financing goes, it's not $500 million that's the bond due at the beginning of July 2012. That's the most important start. But then, there are yearly regular set of maturities from eco and others and the short-term loan facilities. As you know, we have deleveraged our debt from banks, and now it's 1/3, 1/3, 1/3. And basically, we've done so based on a European commercial paper plan that's been really successful. In any case, we do need to renew these credit lines this year, which is our backup, and there's other bilateral bank loans pending. And because of the uncertainty in financial markets lately, it's really unforeseeable to know in what conditions it will happen. Depending on these conditions, this EUR 500 million bond renewal will have a higher number probably as it happens. But this first quarter, the negotiations are still underway, and they will be determining for their results. In any case, I do not think Enagás will have any problem. It's the renegotiation on the EUR 500 million bond changes, and it could fluctuate up to EUR 1 billion. No problem. Now I will move on to the rest of the questions, pending answers. Regarding the assets. Domain assets that we need to put into operation in 2012 are the gas pipelines, the Gaviota [ph], Tivissa-Paterna gas pipeline as well for Central Park [ph]. And we need to also be double the Almonte-Marismas pipeline, the south part of the Martorell-Figueras and the certain delivery points throughout the country that are also pending, as well as the startup of the Yela storage plant and the first -- test during mid-year. These would be the main milestones. And now regarding the CapEx. We already have a certain track record of what we do in terms of third-party asset acquisition. And as part of this EUR 550 million, we estimate EUR 150 million to be acquisitions from third-party assets. Probably the final investment number will be a prudent estimate. We have not included new works through the year. We have not included others. We have been very prudent. I sincerely believe that by the end of the year, we'll be above the investment number, and probably they will be above the assets put into operation number. And also, we'll be above forecast for EBITDA and net profit. However, this is a very volatile number year given the political situation, the structural measures that are being undertaken by the government because of the situation as a whole. We wanted to be very cautious in our forecast so that we are able to meet our goals, and then if we do better, all the best. Any more questions? 
Operator: The next question will be by Jose Antonio Lopez from HSBC. 
Jose Lopez-Borges: I have 2 questions. The first one is whether you could give us more details on the regasification plants in the Canary Islands. When do we put them to operations? And what's the calendar? Just a few details. And the other question is the following. When you look at the results of Enagás and Electrica, there's a huge difference between the cash flow -- the tax paid on the cash flow and the tax that you're putting in your P&L account. I guess that depends on the tax negotiation, but do you think there could be any changes in terms of tax? Do think it could be reduced? Do you think this could have an impact on your working capital? And the third question regarding accounting terms, I believe 2012 is going to bring restrictions on the proportional consolidation method. What impact would be there on the EBITDA consolidations and that 40% that you have in different -- in several companies? Are you going to make any modifications? 
Antonio Llardén Carratalá: I'll answer you now. First of all, the calendar that we have for our project in the Canary Islands is the following. In the Tenerife plant, we have all the permits, environmental permits, ready. And I was personally talking about this with the minister and we know that the ministry has already issued the administrative authorization license, which is the last one necessary, and now is being dealt with at the Energy National Commission. So the project will be ticked off shortly. We calculate 14 months to the startup of the plant. So end of 2014, beginning of 2015, that's when it will start to be operational. Now regarding the Canaria plant, the Gran Canaria plant, as you probably know, it's still pending because the competent authorities need to decide on the final location where it will be. Now once we have that decision, we will work with the bond project and the environmental impact assessment, and then we'll start building. So I do not daresay what's going to be the schedule yet until the final decision is made by the government. However, the generator project has started from a technical point of view. The partners in Gascan are on the same page. And as I said, we're only waiting for the final authorization from the National Energy Committee for the key cost. And then the CFO will add more information to what I say, but just let me tell you that as far as the asset settlement policy that we have is correct. It does not have a direct impact on our P&L account except for the financial costs that we pencil in. But we do not think the government is going to modify this. If in any case, the CFO will compliment my information. Diego, please? 
Diego de Reina Lovera: As the president was saying, we have savings in financial costs because of the corporate tax is deferred based on the assets' affected -- the life cycle of the assets affected. In absolute terms, most of this would have a clear impact on the -- our P&L account. But so far, neither us nor anyone has heard anything regarding changes in this. As you very well know, this procedure is [indiscernible] investment and that we believe this would be one of the last things the government would change. In any case, let me repeat that it does not have a huge impact on our P&L accounts. We're going to have fiscal consolidation starting January 1, 2013. The conditions for the integral consolidation will change. It does not greatly affect Enagás because it will only affect the last acquisitions. And for the Al-Andalus and Extremadura approach, they do have the necessary conditions to integrate them into the company through the proportional integration method. So the impact on the EBITDA is not relevant either. That's why we chose to wait for the January 1, 2013, calendar to implement this modification. Any other questions? 
Operator: The next question will be by Manuel Palomo from Citigroup. 
Manuel Palomo: I have a couple of questions, first the cost of debt and the second regarding the gas deficit. Regarding the cost of debt, if I'm not mistaken, the 2013 goal was 4%. However, the company has 71% on fixed debt. I believe there may be several refinancing scheduled. My question is, as part of this 71% that you have as fixed debt, is that, are there changes to that? Or are they real fixed debt? And where is the increase going to come from in the cost of debt? The second question is regarding the gas deficit. As the president was saying, it depends on the situation. It's not structural, and the ministry has the mechanisms to correct them, right? My question is, what are these mechanisms? What can be expected? Which measures can be expected to correct this gas deficit, if I'm not mistaken, this EUR 300 million this year and for 2012? Could you give us more details on this? 
Antonio Llardén Carratalá: Regarding the debt, and the new CFO will speak, but first, as debt goes, let me mention that in our strategic plan, 4% of the cost of debt was forecasted for 2013 and '14. For 2012, we had forecasted 3.3%. So for 2012, we work under this hypothesis. And for 2013 and '14, in our strategic plan and our forecast, the ones we share with you where we total the average and so forth, we are considering a 4%. Nevertheless, as I've said, the CFO will expand on this. 
Diego de Reina Lovera: Manuel, correct. 71% of our debt is on a fixed rate, or protected, as we say. This is part fixed rate debt, such as the bonds and then also cover just to IFRS. As you know, the accounting rule penalizes on the P&L account like any other speculative element. The average of these elements is at 3, 4 years in average. Why? Well, we do not want to get very far away from the life cycle or maturity cycle of our regulatory system. Our debt is -- has a life cycle of 6 years approx, and our -- the elements, coverage elements that we are doing at around 3 or 4 years. When they settle, we are renegotiating them at a very good -- in very good terms. So that's why like we do every year, we hedge for them based on the information we have with our -- some of our banks and with our vision for 2012. 
Antonio Llardén Carratalá: And then the second question by Mr. Paloma regarding the gas deficit. Yes, it's interesting to mention this. I believe that oftentimes, in the energy sector, there is a lot of noise, information noise and uncertainty, more uncertainty than there should be, actually. And the gas system in the last 7, 8 years, we've seen every year a small deficit or surplus. Why? Well, due to how the administration calculates the tariff. First, they divide the cost of the system through the year by the demand expected. How do they calculate costs? Well, it's fairly accurate. The administration notes at the beginning of the year to a 99.9% from what I would say what are going to be the costs. But the demand, well, the forecast is much harder to do. For 2011 specifically, what happened was that the demand expected by the regulatory bodies at the beginning of the year was 7% higher than what actually happened. Or said the other way around, the actual number was 7% higher than the actual -- then before tax. That's why there was a deficit, an overall deficit. But we insist it's not structural deficit. And now expanding on this in 2012, something that's also unusual happened. Three infrastructures, underground storage infrastructures, come into operation. One of them is very important from a technical point of view, investments and so forth, Castor. The other one, our own in Yela is, well, the investment is just the structural worth EUR 200-plus million. And the third one, the storage for natural gas in Marismas. I don't have the number, but it's also small. So these 3 storage facilities coincide in time in 2012. This is not going to happen ever again. It's not foreseen the next 7 to 8 years, 3 heavy-load infrastructures coming to represent at the same time. And one of them, from a financial point of view, will have certain impact. So theoretically, in 2012, this could have an impact on the cost compared with demand higher than expected. The mechanisms of the administration are in place, and it's really not my role to mention this, but it's -- the deficit or the surplus that we have every year may, in some way, be transferred to the tariffs of the following years proportionally so the administration does not have to increase the tariff for 1 year and then decrease in the next but just make them even over the years. So in any case, it's not my role to give instructions on how this is going to be done, but rest assured, the administration is very well aware of these issues. And I'm sure they will have a perfectly reasonable solution for this. In any case, the tariff costs we are talking about represent 10% of the gas turnover. That is -- 90% is other. So talking about structural deficit in the gas system would not be correct. There is no structural deficit. In fact, every year, there has been a surplus or a deficit, but it's solved in the following years. Any other questions? 
Operator: Next question will be by Gonzalo Sánchez from BPI. 
Gonzalo Sanchez-Bordona: I have 3 questions. First of all, regarding acquisitions, the potential acquisitions in the coming years of core business activities, I'd like to know whether there is any type of already preset objectives regarding these acquisitions. Have you identified any potential acquisitions? And if that is the case, where and what type of assets is the company looking for, for 2012? Secondly, regarding the investments of the 2014 strategic plan, these are about EUR 700 million of investment in 2013 and 2014 based on these year's objective. And I'd like to know what is your forecast regarding this investment. Would you have any hindrance in order to meet this EUR 700 million goal? Or is there going to be any potential deviation? And lastly, regarding exploded or operating assets remuneration, do you think there is any type of risk of changing the benchmark for the financial remuneration, as it's been done in Portugal based on an excessive growth of sovereign debt costs, which may lead to all the remunerations for higher remunerations as opposed to the real cost of capital of the company? 
Antonio Llardén Carratalá: Mr. Gonzalo Sánchez, first of all, regarding your first question, first, we are concerned. Tradition is never to comment on these issues until the full transaction is closed and finished. But first of all, I can tell you and assure you that this is one of our top priorities, and we've been working in this respect for the last month. And we will keep you posted, but you will realize that this meets the company's track record. And also, the figures are similar to those that I've mentioned, the average figure that we tend to use to do additional investments of about EUR 250 million, EUR 300 million investment in this type of assets. But we will keep you posted nonetheless. Regarding 2014 visibility, as you've probably seen in this presentation, regarding the figures and when it compares to the previous presentation of the last 3 months, we've reached an 82% of the investment. So we only have an 18% remaining in order to commit or to meet the investments planned. And hopefully in 2012, '13 and '14, we will receive this remaining 18% in additional permit to implement the project. As far as we see it, we don't think we need to modify this figure. And thirdly, we hope to have a new energy plan in place. But as I always mention, this energy plan will allow us to know what can we do from 2015 onwards. To summarize, investment plan is in line with our track records. There are no news. The only news is that on a quarterly basis, we are increasing this compliance percentage. Regarding the remuneration, we are not expecting any changes, whatsoever, first of all, because if you remember, every asset based on the implementation date has a remuneration indicated to it. And therefore, assets have the reservation according to the last year's average. Secondly, the 10-year Spanish bond is now in line with the average of the last year. On the other hand, weighted average cost of capital is increased, and therefore, we are not obtaining any special benefit of this more expensive 10-year Spanish bond. If a change was to occur, well, this will not affect previous years but the following years. But lastly, this January 2012 revenue maintained the same scheme. Therefore, we do not think that the Portuguese scenario will occur in Spain because the costs are radically different. Any additional questions? 
Operator: Yes, Jorge Alonzo will ask the following question. Jorge Alonzo from Societe Generale. 
Jorge Alonso: I have 2 questions. First of all, regarding the work in progress, what is the figure that you are considering, the figure that you're reporting at the end of the year? Are these assets under construction that are not being remunerated at the moment? And secondly, regarding your provisions in your balance sheet, I've seen that this has been significantly increased from 34 to 91. Can you briefly explain the reasons behind this increase and what is going to be the evolution? 
Antonio Llardén Carratalá: Mr. Jorge Alonzo, first of all, regarding the fiscal year end debt this EUR 3.3 billion -- well, approximately EUR 800 million or EUR 900 million correspond to work in progress that -- this is only approximate 'cause I don't have all of the calculations with me. But this is approximate. We have an industrial cycle that's even higher every year. So the end of the fiscal year does not always correspond to what we currently have on the portfolio because the average cycle is, from the cost point of view, is between 3 to 4 years. We can start an engineering project and the building and then the work. So this would be less than EUR 1 billion. And regarding the specific question about the balance sheet provisions, I'll give the floor to the CFO so that he can reply to these questions. 
Diego de Reina Lovera: The increase in provisions reflected on the balance sheet has to do with the natural evolution of the last incorporations. These are cost provisions included because of lack of information. They are canceled at the beginning of the fiscal year, and they are replaced by real costs. This is not a cost increase. 
Antonio Llardén Carratalá: Any additional questions? 
Operator: Javier Garrido from JPMorgan will ask a following question. 
Javier Garrido: Only 2 questions left. First of all, regarding the Costa storage, when are you going to put in place your -- when are you going to exercise your purchase offer? And what is the amount behind? And can you detail on the debt maturities for the next 3 years until 2014? 
Antonio Llardén Carratalá: Mr. Garrido, I'll reply to the first question, and then I'll give the floor to the CFO. Regarding Costa storage, Enagás' strategic plan has foreseen our entry shareholders in 2013. And there is a reasonable period of time, some years, even 1, 1.5 years in which the regulating authority will give the final operating permit and the regulating value. And this is precisely when we should enter, whenever the administration recognizes the existence of this asset and the allocated corresponding value. And therefore, the quantity will be set by the administration, and Enagás is quite neutral in this respect. We abide by what will the public administration regulate. And in the next 30 to 40 years, we will abide by this. But we believe that this will take place in 2013. Regarding the net -- the debt maturity, I'll give the floor to the CFO. Diego, please? 
Diego de Reina Lovera: Javier, regarding the 2013 and 2014 debt maturity, there are no special or specially concerning net maturities. We had a debt maturity in 2009 of EUR 500 million, and it won't mature until 2015. Truth is that Enagás has a liquidity ratio that's quite high. And in this last fiscal year, it was above EUR 2.1 billion. Maintaining this liquidity will be highly determined by the infrastructure plant that will be approved in the incoming year. And perhaps we'll modify this liquidity ratio based on the plant. Therefore, perhaps we do not need to maintain this level surpassing this EUR 2.2 billion, and then we will consider what is the current refinancing volume that we need to meet in order to maintain a financially comfortable situation. Any additional questions? We are going to ask... 
Operator: The first question comes from Olivier Van Doosselaere from Exane BNP Paribas. 
Olivier Van Doosselaere: Two questions on my side. First of all, could you please indicate what the return targets will be for LNG investments like the one you have made in Altamira? And could you please clarify if I heard correctly that you expect to make, so beyond 2012, EUR 250 million to EUR 300 million investments in third-party assets and if that is actually included in the 2010 to 2014 CapEx plan? And then secondly, could you please also provide a breakdown of the 18% of CapEx that has not yet received approval in the plan today between what is pipelines, what is regasification and what is storage? 
Antonio Llardén Carratalá: Olivier Van Doosselaere, in general terms, our third-party's asset acquisition will be -- we expect to have a double-digit return in general terms. Specifically speaking about 2012, our investment figure will be around EUR 150 million. And in the last 2 years, we had an average amount of investment that was very similar in line with this EUR 150 million. And in principle, regarding this type of projects, we are looking for a double-digit growth on average -- double-digit price return. Regarding this remaining 18% pending from the last permit, 100% come from gas pipelines. 
 No, this is the very last question. Thank you very much for your contribution. And should you have any additional questions, please do call Investor Relations. Thank you very much. 
Operator: There are no more questions. Thank you.